Operator: Good day and thank you for standing by. Welcome to the UGI Corporation Q1 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Tameka Morris, Senior Director, Investor Relations. Please go ahead.
Tameka Morris: Good morning, everyone, and thank you for joining our fiscal 2023 First Quarter Earnings Call. Today, I'm joined by Roger Perreault, President and CEO; Ted Jastrzebski, CFO; and Bob Beard, Chief Operations Officer. Roger and Ted will provide an overview of our results, and the entire team will then be available to answer your questions. Before we begin, let me remind you that our comments today include certain forward-looking statements, which management believes to be reasonable as of today's date only. Actual results may differ significantly because of risks and uncertainties that are difficult to predict. Please read our earnings release and our most recent annual and quarterly reports for an extensive list of factors that could affect results. We assume no duty to update or revise forward-looking statements to reflect events or circumstances that are different from expectations. We will also describe our business using certain non-GAAP financial measures. Reconciliations of these measures to the comparable GAAP measures are available within our presentation. Now I'm pleased to turn the call over to Roger.
Roger Perreault: Thank you, Tameka, and good morning, everyone. I'll start today by providing an update on the quarter, then Ted will provide an overview of our financial results and our liquidity position. We had a good start to fiscal 2023 as our reportable segments delivered a $63 million increase in EBIT over the prior-year period. In totality, UGI reported adjusted diluted EPS of $1.14 compared to $0.93 in the prior-year period. In fact, our adjusted diluted EPS would have been $0.08 higher without the noncore energy Marketing business. These results reflect the robust performance of our natural gas businesses including the effect of weather that was colder than the prior-year period, higher gas base rates at UGI Utilities and continued growth from our UGI Appalachia assets. In the global LPG businesses, we realized benefits from disciplined margin management and expense control efforts, which helped offset elevated inflationary pressures. These benefits, along with continued growth in National Accounts volumes at AmeriGas helped to offset the effects of significantly warmer weather in Europe. In addition to the strong earnings performance in the first quarter, I'd like to comment on several other key accomplishments across our business. First, we are off to a strong start in our utilities capital expenditure program, and we invested $117 million of capital during the quarter. We are deploying record levels of capital to support our growth and infrastructure replacement programs, and we expect to invest roughly $2.4 billion in this area between fiscal 2023 and 2026. We continue to see attractive customer growth at the Utilities with more than 4,500 new residential heating and commercial customers added during the quarter. Our recent acquisitions continue to perform well, and we realized increased earnings at Mountaineer when compared to the prior-year period as well as incremental margins from our UGI Moraine East and Pennant acquisitions. Also at the Utilities, last week, our UGI Utilities electric division filed a request with the Pennsylvania Public Utility Commission to increase rates by approximately $11 million. This increase would fund ongoing system improvements and operations that are necessary to maintain safe and reliable electric service. Similarly, on February 1, Mountaineer filed a notice of intent to file a general rate case with the West Virginia Public Service Commission. We will provide updates as appropriate throughout the process. In our global LPG businesses, despite elevated inflation levels and driver availability challenges at AmeriGas, we were pleased with the positive impact of strong margin management and disciplined expense control actions. In addition, national account volumes at AmeriGas increased over the prior-year period due to our continued focus on customer growth and satisfaction. As I mentioned during our fiscal 2022 year-end earnings call, we have initiated a strategic growth project at AmeriGas, focused on accelerating customer growth through an enhanced customer experience, acquisitions and operational efficiencies. Through this AmeriGas operations enhancement for growth project, we will leverage our scale to improve customer satisfaction and retention and optimize pricing. This is an important strategic focus for AmeriGas and UGI as we strive for operational excellence and growth. Turning to renewables. During the quarter, we made meaningful progress in executing on our renewable strategy with additional RNG projects announced in New York and South Dakota. To date, we have committed over $450 million to renewables projects that support our financial commitments of delivering 6% to 10% EPS growth and 4% dividend growth over the long-term. Lastly, I am pleased with the continuous progress that we have made in our ESG programs. Our efforts to maintain robust governance practices and improved greenhouse gas mitigation strategies continue to be recognized. And in December, UGI was upgraded to AAA rating by MSCI. This rating positions us among the leading companies worldwide for action across ESG matters. And now I'll turn the call over to Ted, who will provide more details on our financial results.
Ted Jastrzebski: Thanks, Roger. As Roger mentioned, UGI delivered adjusted diluted EPS of $1.14 compared to $0.93 in the prior fiscal first quarter. This table lays out our GAAP and adjusted diluted earnings per share for the quarter in the comparable prior period. As you can see, our adjusted diluted earnings exclude adjustments totaling $5.68 that relate to a number of items, including the impact of mark-to-market changes in commodity hedging instruments, a loss of $4.73 this year versus $1.37 in the prior-year. The loss of $4.73 for Q1 fiscal '23 is largely attributable to the decline in natural gas and power prices in Europe between September 30 and December 31. This year, we had $0.14 loss on foreign currency derivative instruments compared to a gain of $0.02 in the prior-year. We also had $0.02 for external advisory fees associated with the AmeriGas operations enhancement for Growth project that Roger highlighted earlier, $0.72 related to the loss on disposal of the U.K. Energy Marketing business in October 2022. This loss was substantially related to the noncash transfer of commodity derivative instruments that underpin the customer contracts that were sold with that business. Consideration for the sale was a net cash payment of $19 million, which includes certain working capital adjustments. And lastly, $0.07 for impairment of certain PP&E and intangible assets in the energy marketing business located in the Netherlands. We're off to a good start in fiscal 2023 with a $0.21 increase in adjusted diluted EPS on a year-over-year basis. At a high level, Global LPG was up $0.02 due to effective margin management and strong expense control efforts, which offset the effects of significantly warmer weather in Europe and continued inflationary pressure, particularly in personnel-related costs. Our natural gas businesses were up $0.20 as both businesses benefited from colder weather conditions in the U.S. In addition, higher gas base rates in Pennsylvania and increased throughput on our midstream systems contributed to this strong performance. Turning to the individual businesses. AmeriGas reported EBIT of $110 million versus $86 million in the prior-year period. Retail volume declined 2%, reflecting staffing shortages and key delivery-related positions, which also limited customer growth as well as some continuation of customer attrition and structural conservation. Subsequent to the quarter, we have made significant progress in addressing the staffing shortages in order to increase our distribution capacity. Total margin increased by $20 million, which was primarily attributable to higher retail propane margins, and this was partially offset by the effect of lower volumes. Operating and administrative expenses decreased $5 million, reflecting lower employee compensation and benefits as we saw the carryover impact of workforce reductions made during fiscal 2022. This benefit was partially offset by higher overtime and contractor costs for distribution activity given the staffing shortages and key delivery-related positions, increased vehicle expenses as well as the effects of sustained inflationary pressures. UGI International reported EBIT of $66 million compared to $82 million in the prior-year period. The decline of $16 million at the EBIT level is attributable to lower volume in the European LPG business.  For the quarter, weather was significantly warmer than prior-year. With the ongoing geopolitical situation in Europe, we also saw the effect of energy conservation efforts on retail volumes, primarily for residential customers. The total effect of warmer weather, energy conservation and reduced crop drying volume was an 18% decline in retail LPG volumes year-over-year. Total margin decreased $41 million, reflecting the translation effect of weaker foreign currencies and lower LPG volumes. Turning to operating and administrative expenses. There was an $18 million decline due to the translation effects of the weaker foreign currencies, which was partially offset by the impact of the global inflationary cost environment on the underlying distribution, personnel and maintenance costs. Individually, while revenues, costs and expenses were impacted by the translation effects of foreign currencies, ultimately, the net effect to EBIT was immaterial. And when combined with the impact of our multiyear currency hedging strategy resulted in a nominal impact. Lastly, for the European Energy Marketing business, EBIT was relatively flat year-over-year and $0.08 impact in both years. As we previously shared, we've been managing volumes as we exit this noncore portion of our business. Based on warmer weather and our exit strategy, there was a significant reduction in year-over-year volumes, particularly in natural gas marketing, where volumes were down close to 50%. However, the benefits from lower volumes were offset by the effects of increased intra-month and intra-quarter volatility in European natural gas and power prices. Moving to the natural gas businesses. Midstream and Marketing had a strong quarter, reporting EBIT of $107 million, an increase of $25 million over the prior year. With the 13% colder than prior year weather, the business experienced increased margins from natural gas marketing activities. This also included roughly $0.03 of opportunistic margins from peaking and capacity management activities due to the cold weather at the end of December. Our build-out of the UGI Appalachia systems continue to enhance our earnings capability. And during the quarter, we had incremental margin of $14 million in total from the UGI Moraine East that was acquired in January 2022 and Pennant Midstream where we acquired the remaining interest in August 2022. These increases were partially offset by a $6 million reduction in margin from renewable energy marketing activities as there were lower volumes of environmental credits sold. Lastly, the $25 million increase in EBIT was due to higher operating income partially offset by lower other operating income as our buy-in of the Pennant assets allowed for discontinuation of equity method accounting given that the assets are now fully owned by UGI. Our Utilities segment also had a robust first quarter with EBIT of $128 million, $30 million higher than the prior year period. Core market volume was up 17% on weather that was colder than the prior year as well as from continued growth in residential and large delivery service customers. This increase in core market volume along with higher gas base rates at UGI Utilities which went into effect at the end of October 2022 were the primary drivers for the $43 million increase in total margin when compared to the prior year. With weather being close to normal in this quarter, the effect of our new weather normalization mechanism was minimal. As a reminder, weather in Q1 of FY '22 was warmer than normal and at the time, we had no weather normalization provision in our tariff. Operating and administrative expenses increased by $11 million, largely due to higher uncollectible account expenses, increased sales and use tax expenses and higher compensation and benefits expenses. In summary, we're pleased with the strong results across the business units, which is the product of our attractive diversified portfolio, strong strategic investments and disciplined capital deployment approach. Turning to liquidity. As of the end of the quarter, UGI had available liquidity of $1.2 billion. Cash collateral previously held was largely returned as commodity prices declined between September 30 and December 31. The business continues to generate strong cash flows, and we're pleased with our current liquidity position, since we typically experience higher seasonal working capital requirements in the first quarter. And with that, I'll turn the call back over to Roger.
Roger Perreault: Thanks, Ted. As we've been reminded over the past several years, we are living and operating in an ever evolving economic environment with sustained inflationary pressures and geopolitical tension. I am pleased with our teams who have worked tirelessly to manage through these headwinds. I also believe that our 3R strategy, which is to deliver reliable earnings growth, invest in renewables and rebalance our portfolio, provides the framework that we need to drive continued success. With an unwavering commitment to safety, creating operational efficiencies, customer focus and embracing a diverse and inclusive culture, we are well positioned for growth. I am grateful for our dedicated and committed employees and remain confident in our ability to generate attractive value for our customers, employees and shareholders. We thank you for your interest in UGI and your participation in today's call. And with that, we will open the line for your questions.
Operator: [Operator Instructions]. Our first question comes from Marc Solecitto with Barclays. Your line is now open.
Marc Solecitto: Hi, good morning. Congrats on the quarter. Maybe just to start, I was wondering if you could give some context around how 1Q shaped up relative to your guidance expectations coming into the year. And obviously, we still have February and March still to go, but with warm weather in January. Any color on the trajectory of the business thus far into the quarter -- second quarter would be helpful as well?
Roger Perreault: Yes. Good morning, Marc. Thank you for your question. So as we stated, right, Q1 was a solid quarter, one where we saw some weather here in North America, offset, of course, with some very warm weather in Europe. However, very pleased with how our teams delivered margin management efficiencies, which led to the solid first quarter. So I would say solid first quarter, not a huge surprise, but robust, right? When that we certainly saw some upside given some of the volumes and some of the activities that we talked about. Moving on to the second quarter. As usual, we're going to provide an updated guidance at the end of the quarter. So we're not going to talk about guidance now. However, as you pointed out in your report this morning as well, which I noticed, Marc, January has been a warm month. So we have started the quarter with some warm. There's still a lot of heating degree days ahead of us. So we certainly continue to look forward to what February and March will do. And as I mentioned, at the end of the quarter, we'll be happy to talk about guidance and the impact that we will see after the first two quarters.
Marc Solecitto: Got it. Appreciate the color there. And then in the Midstream and Marketing segment, you referenced the benefit from commodity marketing and capacity management. Could you talk about some of the dynamics there? And if you expect it to carry forward into 2Q? Or is that mostly just a function of the weather volatility in December?
Roger Perreault: Yes. Also a very good question, Marc. What we did see in December, we saw some spikes. We saw some pretty severe weather volatility at one period in time. So we did see some additional benefit that we highlighted for that period. Very difficult to know and say if that's going to carry through. I think we'll wait and see.
Marc Solecitto: Got it. Appreciate the time.
Roger Perreault: Thank you, Marc.
Operator: Please standby for our next question. At this time, I'm showing no further questions. One moment for our next question. Our next question comes from Michael Gaugler with Janney. Your line is now open.
Michael Gaugler: Good morning, everyone.
Roger Perreault: Good morning, Michael.
Ted Jastrzebski: Good morning, Michael.
Michael Gaugler: I guess I'll start first with the -- you had mentioned the Mountaineer gas rate case. Are you looking for that to be effective fiscal 2024 or calendar 2024?
Roger Perreault: Yes. So we -- as we mentioned in the earnings release, we are planning on doing a rate case filing with -- for Mountaineer. What I'll do is I'll ask Bob to comment a little more on some of the details. That's what we expect to be filing and in the period that we're going to be covering.
Robert Beard: Sure. Yes, what we've said so far is that we filed the necessary paperwork to notify the commission that we will be filing a rate case in the not-too-distant future. We're not going to predict whether we're going to get it in FY '23 or calendar year '23. Since this is really under UGI's ownership, the first case that we'll execute in West Virginia. I will tell you, and I'll reiterate that as I have in the past, we find so far that the West Virginia Commission is very reasonable and very pragmatic, but we don't want to get out ahead of the process. So we'll have more in the coming months on that.
Michael Gaugler: Okay. And then next question and last. Given where you are right now with the RNG projects that are already announced. Do you pretty much have the scale that you want? Or should we expect more?
Roger Perreault: Yes. As we highlighted, Michael, we're making good progress with our 3R strategy and more specifically the renewables portion of that strategy. So we've now committed over $450 million in RNG projects. I think we have a very healthy pipeline, right? So we have a pipeline of opportunities, but as we always stress, we are very, very disciplined looking at these projects. So we are targeting double-digit rates of return. We take conservative assumptions with RINs and LCFS values, and we're looking at these projects. So I certainly expect for us to continue to build on the very solid platform we've now built with the amount of capital we've invested. And also I would like to highlight that we certainly continue to work on bio LPG projects, and we certainly continue to work on renewable dimethyl ether as other renewable solutions to the products we serve. So overall, I think we can -- you can expect and we certainly expect to continue to see some momentum in this area.
Michael Gaugler: All right. That's all I have gentlemen. Thank you.
Roger Perreault: Thank you very much, Michael. Appreciate the questions.
Operator: At this time, I am showing no further questions in the queue. I would now like to turn the conference back to Roger Perreault, President and CEO for closing remarks.
Roger Perreault: Thank you, Michelle, and I'd like to thank everybody for joining us today and your continued interest in UGI. We look forward to our next earnings call. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.